Operator: Good morning and welcome to Landstar System Incorporated First Quarter Earnings Release Conference Call. All lines will be on a listen-only mode until the formal question-and-answer session. Today’s call is being recorded. If you have any objections, you may disconnect at this time. Joining us today from Landstar are Frank Lonegro, President and CEO; Jim Applegate, Vice President and Chief Corporate Sales, Strategy and Specialized Freight Officer; Jim Todd, Vice President and CFO; Matt Dannegger, Vice President and Chief Field Sales Officer; Matt Miller, Vice President and Chief Safety Officer. Now I’d like to turn the call over to Mr. Jim Todd. Thank you, sir. And you may begin.
Jim Todd: Thank you, Elle. Good morning and welcome to Landstar’s 2025 first quarter earnings conference call. Before we begin, let me read the following statement. The following is a safe harbor statement under the Private Securities Litigation Reform Act of 1995. Statements made during this conference call that are not based on historical facts are forward-looking statements. During this conference call, we may make statements that contain forward-looking information that relates to Landstar’s business objectives, plans, strategies and expectations. Such information is, by nature, subject to uncertainties and risks, including, but not limited to, the operational, financial and legal risks detailed in Landstar’s Form 10-K for the 2024 fiscal year described in the section Risk Factors and other SEC filings from time to time. These risks and uncertainties could cause actual results or events to differ materially from historical results or those anticipated. Investors should not place undue reliance on such forward-looking information, and Landstar undertakes no obligation to publicly update or revise any forward-looking information. I’ll now pass it to Landstar’s CEO, Frank Lonegro, for his opening remarks.
Frank Lonegro: Thanks, JT, and good afternoon, everyone. We’d like to thank our investors and analysts for their patience with us as we work through the previously disclosed supply chain fraud matter resulting in the postponement of first quarter earnings. We will be sharing the details at a high level with you shortly. I’d also like to thank our BCOs and agents and all of the Landstar employees who support them every day. It was great to spend time with our BCO team in Louisville at the Mid-America Truck show recently and to celebrate the success of our agent network in Hollywood, Florida at our Annual Agent Convention. The capability, resiliency and level of commitment exhibited day in and day out by our network of independent business owners is unique in the freight transportation industry. Their adaptability and dedication to service for our customers in this highly fluid freight transportation backdrop is truly impressive. They are exceptional business leaders and key to driving the continued success of Landstar’s business model. The 2025 first quarter presented a unique set of macroeconomic challenges with the inauguration of a new president and the uncertainties associated with aggressive U.S. trade and tariff policies. We continue to monitor the impact of tariffs and other federal trade policies on international trade relationships between the United States and many countries throughout the world, most notably China, Mexico and Canada, very closely. As a reminder, U.S.-Mexico cross-border revenue was approximately 11% of consolidated revenue during the 2024 fiscal year, while U.S.-Canada cross-border revenue was approximately 4% of consolidated revenue during the same period. Our direct exposure to freight to and from China is de minimis. Amidst ongoing challenges in the freight environment compounded by a highly volatile federal trade policy, the 2025 first quarter included several important positive developments for Landstar. As noted in our earnings release, the number of loads hauled via truck exceeded the high end of our guidance issued in connection with our fourth quarter 2024 earnings release on January 29, 2025. This was the first time in at least 15 years where the number of loads hauled via truck in the first quarter exceeded the immediately preceding fourth quarter. Although, it is hard to determine how much of our first quarter load count was related to efforts by shippers to get ahead of tariffs, we certainly saw this as a positive sign to start 2025. Notwithstanding the political and macro uncertainty thus far in 2025, our focus continues to be on accelerating our business model and executing on our strategic growth initiatives. In one continued major bright spot, I’m extremely pleased with the performance of Landstar’s heavy-haul service offering. We generated approximately $113 million of heavy-haul revenue during the 2025 first quarter, or a 6% increase over the 2024 first quarter. This achievement was driven by a 3% increase in heavy-haul revenue per load and a 3% increase in heavy-haul volume. Turning more broadly to our core truckload service offering, the foundational work we invested in during 2024 puts us in a great position to leverage the freight environment when it eventually turns our way. We are also focused on our commitment to continuous improvement in the level of safety, service and support we provide to our customers, agents, BCOs, and carriers each and every day. Turning to Slide 5, the freight environment in the 2025 first quarter was characterized by relatively soft demand, weather impacts, and readily available truck capacity. The impact of accumulated inflation remains a drag on the amount of truckload freight generated in relation to consumer spending. Truck capacity continued to be readily available with small pockets of supply/demand, equilibrium and market conditions continue to favor the shipper amidst choppy conditions in the industrial economy. Considering that backdrop, Landstar’s revenue performance was admirable in the 2025 first quarter, delivering top line results within the top half of our first quarter guidance range issued on January 29. Our first quarter guidance called for the number of loads hauled via truck to be 7% below to 2% below the 2024 first quarter and overall revenue per truckload to be 2% below to 3% above the 2024 first quarter. The actual number of loads hauled via truck in the 2025 first quarter was 1.2% below the 2024 first quarter, slightly above the high end of our guidance range. Actual revenue per truckload in the 2025 first quarter was 0.6% below the prior year quarter, comfortably within the lower half of the guidance range. As we previously indicated in our recent 8-Ks, earnings per share came in below the low end of the guidance we provided in conjunction with our 2024 fourth quarter earnings release, primarily for two reasons. First, as discussed in our earnings release issued earlier today and as previously disclosed in Form 8-Ks filed with the SEC on April 2 and April 25 of this year, during the last week of Landstar’s 2025 first quarter, we identified a supply chain fraud relating to the company’s international freight forwarding operations. This fraud matter does not involve our core North American truckload services. While investigation, remediation and collection efforts continue, the 2025 first quarter results included a $4.8 million pre-tax charge or $0.10 per share relating to this matter. This charge reflects the total currently anticipated adverse financial impact to Landstar relating to this fraud, net of certain actual and anticipated recoveries and before taking into account, the cost of legal and other professional fees as well as additional potential recoveries. This charge is reflected in selling, general and administrative costs and bad debt expense. It is important to note we believe the inception of the fraud dates back to at least 2019. We have no evidence currently of any internal employee involvement. We have our arms all the way around the matter and are vigorously pursuing recoveries and the fraud was isolated to a single satellite agent office created through a unique arrangement dating back over 10 years. While this situation is very disappointing, Landstar leaders across accounting, finance, international sales and operations and legal worked tirelessly over the past six weeks since we discovered the fraud to investigate this matter and secure both actual and probable future recoveries that reduced the impact from the approximately $20 million worst-case scenario we reported in the 8-K to the roughly $5 million we reported in the first quarter. Second, as previewed by the 8-K we filed on April 2, 2025, first quarter EPS also reflected highly elevated insurance and claims costs of 9.3% of BCO revenue. This amount of insurance and claims as a percentage of BCO revenue is well above the company’s average historical experience of 4.9% from the 2019 fiscal year through the 2024 fiscal year and as will be discussed further by JT is primarily due to cargo theft and truck accident adverse claim development. Absent the supply chain item and the elevated insurance and claims costs, our EPS would have finished comfortably within the 2025 first quarter prior guidance even with the corresponding incentive compensation adjustments. Our balance sheet continues to be very strong, and our capital allocation priorities are unchanged. We will continue to patiently and opportunistically execute on our existing buyback authority to benefit our long-term stockholders. As noted in the release, we deployed approximately $61 million of capital toward buybacks and repurchased approximately 386,000 shares of common stock during the 2025 first quarter. In addition, we were excited to announce this morning the acceleration of the increase to our regularly scheduled quarterly dividend, resulting in an 11% increase over the amount of the company’s regular quarterly dividend declared following each of the prior three quarters. We continue to invest through the cycle in leading technology solutions for the benefit of our network of independent business owners and have allocated a significant amount of capital this year towards refreshing our fleet of trailing equipment, specifically focusing on unsided/platform equipment. Turning to Slide 6 and looking at our network, the scale, systems and support inherent in the Landstar model helped to drive the operating results generating during the 2025 first quarter. JT will get into the details on revenue, loadings and rate for load shortly. As noted during previous earnings calls, I’ve been in the transportation sector for most of my career and realized how important Landstar’s safety culture is to our continued success. Our safety performance is a direct result of the professionalism of the thousands of Landstar BCOs operating safely every day, and the agents and employees who work to reinforce the critical importance of safety at Landstar. I’m proud to report an accident frequency rate of 0.69 DOT reportable accidents per million miles during the 2025 first quarter, well below the last available national average DOT reportable frequency released from the FMCSA for 2021. We continue to be committed to driving down that number closer to the company’s trailing five-year average of 0.61 or lower. This long-run average is an impressive operating metric that speaks to the strength, skill, talent and dedication of our BCOs and provides a point of differentiation. Our agents are able to highlight in discussions with our freight customers. I’d also like to take a moment to recognize Landstar’s nearly $500 million agents based on the 2024 fiscal year results. As mentioned earlier in the prepared remarks, it was our pleasure to celebrate their success in April at our annual Agent Convention. Importantly, retention within the $1 million agent network continues to be extremely high. Turning to Slide 7 on the capacity side, on a year-over-year basis, BCO truck count decreased approximately 8% compared to the end of the 2024 first quarter. On a sequential basis, BCO truck count decreased in the first quarter from the 2024 fourth quarter by approximately 223 trucks, consistent with our expectations of BCO truck declines continuing into the first quarter. I would remind folks, however, that the first quarter is historically the most challenging quarter from a net truck count standpoint. Going back in history, in the aggregate during the first quarter of every year over the last 15 years, we have added a total of 10,445 BCO trucks and had a total of 11,412 BCO trucks to Park Landstar. It is typical to incur turnover and BCO truck count in a low rate per load environment. BCO turnover continues to be influenced by the significant increase in the cost to maintain and operate a truck today compared to before the pandemic. Directionally, we are pleased to see our trailing 12-month truck turnover rate dropped from 34.5% as of fiscal year-end to 33% at the end of the 2025 first quarter. Through the first six weeks of the 2025 second fiscal quarter, the number of trucks provided by BCO independent contractors has declined by less than 20 trucks. If that trend continues through the final seven weeks of the quarter, it will be the best quarter-over-quarter net truck performance in 12 quarters. I will now pass the call back to JT to walk you through the 2025 first quarter financials in more detail.
Jim Todd: Thanks, Frank. Turning to Slide 9. As Frank mentioned earlier, overall truck revenue per load decreased 0.6% in the 2025 first quarter compared to the 2024 first quarter primarily attributable to a 2.1% decrease in revenue per load on loads hauled by truck brokerage carriers, partially offset by a 1.5% increase in revenue per load on loads hauled by BCO independent contractors. Revenue per load on loads hauled by truck brokerage carriers was negatively impacted by a year-over-year decline in diesel prices. Overall truck revenue per load in the 2025 first quarter was negatively impacted by a 1% decline in average length of haul as compared to the 2024 first quarter. On a sequential basis, truck revenue per load decreased 4.6% in 2025 first quarter versus the 2024 fourth quarter, slightly softer than the typical pre-pandemic normal seasonality decline of 3%. In comparison to overall truck revenue per load, we consider revenue per mile on BCO loads hauled by BCO trucks a pure reflection of market pricing as it excludes fuel surcharges billed to customers that are paid 100% to the BCO. In the 2025 first quarter revenue per mile and unsided/platform equipment hauled by BCOs was 14% above the 2024 first quarter and revenue per mile on van equipment hauled by BCOs was 2% above the 2024 first quarter. Delving deeper into seasonal trends, revenue per mile and loads hauled by BCOs on unsided/platform equipment declined 9% from December to January, was approximately flat January to February, and increased 1% from February to March. The December to January decline to underperform pre-pandemic seasonal trends while the February and March trend was generally in line with pre-pandemic historical trends. With respect to loads hauled by BCOs on van equipment performance versus pre-pandemic typical seasonal patterns was choppier. Revenue per mile on van equipment hauled by BCOs increased 1% from December to January, outperforming these trends decreased 3% from January to February, underperforming these trends and decreased 1% from February to March, again underperforming. It should be noted that month-to-month seasonal trends on unsided/platform equipment are generally more volatile compared to that of van equipment. This relative volatility is often due to the mix between heavy specialized loads and standard flatbed volume. As Frank alluded to, we’ve experienced strong recent performance in our heavy haul service offering. Heavy haul revenue was up an impressive 6% year-over-year in the first quarter, significantly outperforming core truckload revenue. Heavy haul loadings were up approximately 3% year-over-year and revenue per heavy haul load increased 3% year-over-year. This represented a mixed tailwind to our unsided/platform revenue per load as heavy haul revenue as a percentage of the category increased from approximately 31% during the 2024 first quarter to approximately 33% in the 2025 first quarter. Non-truck transportation service revenue in the 2025 first quarter was 8%, or $6 million above the 2024 first quarter. The increase in non-truck transportation revenue was mostly due to a 14% increase in ocean revenue per shipment and a 19% increased in air revenue per shipment partially offset by 23% decrease in intermodal revenue, primarily driven by a 10% decline in revenue per load and a 14% decline in loadings. Turning to Slide 10, we’ve provided revenue share by commodity and year-over-year change in revenue by commodity. Transportation logistics segment revenue was down 1% year-over-year on a 1% decrease in loadings, while revenue per load was approximately flat compared to the 2024 first quarter. Within our largest commodity category, consumer durables, revenue increased 2% year-over-year on a 5% increase in revenue per load, partially offset by a 3% decrease in volume. Aggregate revenue across our top five commodity categories, which collectively make up about 69% of our transportation revenue, was approximately equal to the 2024 first quarter. While Slide 10 displays revenue share by commodity, we thought it would also be helpful to include some color on volume performance within our top five commodity categories. From the 2024 first quarter to the 2025 first quarter, total loadings of machinery increased 6%, automotive equipment and parts decreased 15%, building products increased 1%, and electrical increased 36%. Additionally, substitute line haul loadings, one of the strongest performers for us during the pandemic and one which varies significantly based on consumer demand, increased 24% from the 2024 first quarter. As we’ve mentioned many times before, Landstar is a truck capacity provider to other trucking companies, 3PLs, and truck brokers. During periods of tight truck capacity, those other freight transportation providers reach out to Landstar to provide truck capacity more often than during times of more readily available truck capacity. The amount of freight hauled by Landstar on behalf of other truck transportation companies is reflected in almost all of our commodity groupings, including our substitute line haul service offering. Overall, revenue hauled on behalf of other truck transportation companies in the 2025 first quarter was 13% below the 2024 first quarter, a clear indicator that capacity is readily accessible in the marketplace. Revenue hauled on behalf of other truck transportation companies was 12% and 14% of transportation revenue in the 2025 and 2024 first quarters, respectively. Even with the ups and downs in various customer categories, our business remains highly diversified with over 23,000 customers, none of which contributed over 7% of our revenue in 2025 first quarter. Turning to Slide 11. In the 2025 first quarter gross profit was $98.3 million compared to gross profit of quarter a $113.9 million in the 2024 first quarter. Gross profit margin was 8.5% of revenue in the 2025 first quarter as compared to gross profit margin of 9.7% in the corresponding period of 2024. In the 2025 first quarter, variable contribution was $161.3 million compared to $168.2 million in the 2024 first quarter. Variable contribution margin was 14% of revenue in the 2025 first quarter compared to $14.4 in the same period last year. The decrease in variable contribution margin compared to the 2024 first quarter was primarily attributable to a mix headwind as the number of loads hauled by BCOs decreased quarter over prior year quarter by approximately 7%, slightly better than the quarter over prior year quarter decline in the average number of trucks provided by BCO independent contractors of 9% given the 2% improvement in BCO utilization over the same time period, whereas the number of loads hauled by truck brokerage carriers increased approximately 3% compared to the prior year quarter. Turning to Slide 12, operating income declined as a percentage of both gross profit and variable contribution primarily due to, one, highly elevated insurance and claim costs of 9.3% of BCO revenue, two, the $4.8 million charge related to the previously disclosed freight forwarding supply chain fraud matter, and three, the impact of the company’s fixed cost infrastructure, principally certain components of selling, general and administrative costs in comparison to smaller gross profit and variable contribution basis. The highly elevated insurance and claims cost drove an approximately $0.31 unfavorable variance as compared to the estimated amount included in the 2025 first quarter prior guidance. While the freight forwarding supply chain matter reduced first quarter EPS by approximately $0.10. Other operating costs were $11.8 million in the 2025 first quarter compared to $14.9 million in 2024. This decrease was primarily due to a decreased provision for contractor bad debt and increased gains on sale of used trailing equipment. Insurance and claims costs were $39.9 million in the 2025 first quarter compared to $26.3 million in 2024. Total insurance and claims costs were 9.3% of BCO revenue in the 2025 first quarter compared to 5.8% in the 2024 first quarter. The increase in insurance and claims costs as compared to 2024 was primarily attributable to increased net unfavorable development of prior year claim estimates, increased severity on cargo claims, primarily due to cargo theft and carrier imposter scams, and increased severity of trucking accidents during the 2025 period, partially offset by decreased BCO miles traveled during the 2025 period and a decreased frequency in cargo claims as compared to the 2024 period. During the 2025 and 2024 first quarters, insurance and claims costs included $11.4 million and $1.1 million of net unfavorable adjustments to prior year claim estimates, respectively. Selling, general, and administrative costs were $61.6 million in the 2025 first quarter compared to $56.4 million in the 2024 first quarter. The increase in selling, general and administrative costs were primarily attributable to the $4.8 million charge related to the supply chain fraud discussed earlier in the call by Frank. Excluding the impact of the charge for the supply chain fraud, selling general and administrative costs were essentially flat as compared to the 2024 period. Depreciation and amortization was $12.2 million in the 2025 first quarter compared to $14.1 million in 2024. This decrease was primarily due to decreased depreciation on software applications. The effective income tax rate was 24.7% in the 2025 first quarter compared to an effective income tax rate of 23.5% in the 2024 first quarter. The increase in the effective income tax rate was due to the favorable impact of net excess tax benefits from stock-based compensation arrangements during the 2024 period. Turn to Slide 13 and looking at our balance sheet. We ended the quarter with cash and short-term investments of $473 million. Cash flow from operations for the 2025 first quarter was $56 million in cash, capital expenditures were $2 million. The company continues to return significant amounts of capital back to stockholders with $83 million of dividends paid and approximately $61 million of share repurchases during the 2025 first quarter. The strength of our balance sheet is a testament to the cash generating capabilities of the Landstar model. Back to you, Frank.
Frank Lonegro: Thanks, JT. Given the highly fluid freight transportation backdrop amid the uncertain political and macro environment, together with the recent industry trends in insurance and claims costs, the company will be providing second quarter revenue commentary rather than formal guidance. As we are already a couple of weeks into fiscal May, we thought it would be helpful to provide some insight into April business activity. The number of loads hauled via truck in April was approximately 2% below April 2024, while revenue per load in April was approximately 1% above April 2024. As a result, we view April’s truck volumes as slightly below normal seasonality where April truck revenue per load was slightly ahead of normal seasonality. It should be noted that the launch point of the first quarter from a sequential volume perspective was relatively high given the anomaly of 2025 first quarter truck loadings exceeding 2024 fourth quarter truck loadings. Looking at historical seasonality from Q1 to Q2, pre-pandemic patterns would normally yield an 8% increase in the number of loads hauled via truck and a 2% increase in truck revenue per load, yielding a higher top line sequentially. As noted above, fiscal April truck volumes trend slightly below normal seasonality. When combined with the potential negative impact of truck transportation activity resulting from tariff and trade uncertainty, we believe it is unlikely that we would achieve normal seasonality with respect to the number of loads hauled via truck in the 2025 second quarter. With respect to variable contribution margin, the company typically experiences a 30 to 40 basis point sequential compression in variable contribution margin from the first quarter to the second quarter. Turning to Slide 15. Although we are not providing guidance, there are a few points regarding the 2025 second quarter we want to bring to everyone’s attention. As discussed earlier in the call, while investigation, remediation and collection efforts continue with respect to the supply chain fraud matter, the $4.8 million pre-tax charge we incurred in the 2025 first quarter reflects the total currently anticipated adverse financial impact to Landstar net of certain actual and anticipated recoveries. Other than, additional costs for legal and other professional fees relating to this matter, we do not expect significant additional charges during the 2025 second quarter or thereafter relating to this matter. 2025 second quarter SG&A will include our typical $2 million to $3 million charge relating to our annual Agent Convention. And finally, in connection with a multi-year excess liability reinsurance program maintained by Landstar, a no claims bonus of $12 million became payable to Landstar in April 2025 as certain claims relevant to this excess liability program remain pending, it is anticipated that the receipt of this no claims bonus payment will be recorded on our balance sheet in the second quarter as a deferred gain until such time as all underlying claims with exposure under the applicable excess layer insurance arrangement are resolved. With that operator, we’d like to open the line for questions.
Operator: Thank you very much, sir. At this time we will begin the question-and-answer session. [Operator Instructions] Our first question comes from Jordan Alliger from Goldman Sachs. Your line is now open.
Jordan Alliger: Yes. Hi. Good morning. I was wondering if you could talk a little bit more about the insurance and the insurance developments. And I don’t know if you could pinpoint like I know you gave sort of the unfavorable variance, but how much of these prior period claims, the actual dollar amount sort of like maybe one-time in nature. And then how do you think about sort of what’s normal for insurance going forward? Just because it seems like these types of things recur frequently. Thanks.
Frank Lonegro: Hey, Jordan, thanks. And obviously it’s an industry phenomenon, not just a Landstar phenomenon. I would say and you’ll see it in the 10-Q a little bit later today. But the year-over-year difference in prior year development was significant, like $10 million or $11 million. JT will get into the details. So I do think it was a unique quarter. I mean our normal run rates just below 5% of BCO revenue on that insurance and claims line. There’s always some prior year development in that line, but this was a pretty unique quarter for us. JT?
Jim Todd: Yes. Good morning, Jordan. To Frank’s point, so of the $11 million unfavorable development in the 2025 first quarter, about $7 million came from our cargo programs. We had two incidents in the 2024 fourth quarter that weren’t reported until the 2025 first quarter. Very timely, I think Courtney Reagan did a nice job on Friday on CNBC special on freight fraud and the supply chain. And it’s impacting Landstar, it’s impacting the entire industry. I’ll let Matt Miller talk about some of the things we’re doing from a technology and a people standpoint. 2023 full year insurance as a percent of BCO revenue was 570 basis points. Jordan, it stepped up to 630 in the 2024 fourth quarter. We’re working on a lot of things as evidenced by the decrease in cargo claims frequency. Just when these folks are hitting, they’re hitting on high value loads as evidence. I think our severity on cargo claims was up something like 155% year-over-year in the 2025 first quarter. Matt?
Matt Miller: Yes. Thanks, Jim. Thanks, Frank. So we are seeing a decrease in the frequency but as Jim alluded to an increase in severity. And that really speaks to the sophistication of the networks and the bad actors out there. We’ve seen that happen from 2023 to 2024. And Courtney Reagan, I agree with Jim, did a really nice job going into detail about what’s really going on in the space. That said, we’re investing significantly, we stood up a fraud department and continuing to add people to that subject matter expertise to that. We’re educating our constituents out there, whether it’s the agents or the capacity. And then we’re investing in technology. So we’ve stood up various vendors that are helping us attack on really all fronts, whether it’s people, education or technology. But this is an area where you got to remain vigilant and you’re really always playing defense here.
Jordan Alliger: Just as a quick follow-up, then I’m realizing that these things pop up, I get the severity. Is there a way to think about the baseline percent of BCO revenue going forward? Just like if it was a normalized number? Thanks.
Frank Lonegro: Yes, that was a bit difficult just given the environment that we’re in. I think that the historical run rate that we mentioned in the prepared remarks of 4.9% given the current environment is probably low. But then again, I look at the first quarter result in the 9%, 9.5% range and to me that’s high. And one of the things that happened in the 2025 first quarter, as JT mentioned, usually these are short cycle events where you find out pretty quickly that there’s something that’s happening in the couple of incidents that JT mentioned. We didn’t find out for 30, 60, 90 days in some cases. So it’s a little surprising. There have been arrests in one of these particular incidents that we’re alluding to. And so I see that as a good thing. It is going to take not just the industry and the people in the process and the technology that Matt mentioned, but also a fair amount of government help. So I do think the fact that CNBC came out with their piece on fraud, I do think that’s going to help elevate the concerns of the industry. And it’s not just in trucking. I mean, good lord, it’s happening in rail and intermodal and in shipping and in truck transportation as well. So this is something that we collectively need to get our arms around and we are going to need government help to get there.
Jordan Alliger: Thank you.
Frank Lonegro: Thanks, Jordan.
Operator: Thank you. Our next question will be from Jason Seidl of TD Cowen. Your line is now open.
Jason Seidl: Thanks, operator. Hey, Frank. Hey, team, good morning. Wanted to dive in a little more on the heavy-haul. Obviously loads volumes up 3%. Seems like a pretty decent result for the quarter. I wonder if you could break out sort of the end markets within heavy-haul that are doing better for you guys. And then I have a follow-up.
Frank Lonegro: Yes, sure thing, Jason. Heavy-haul has been a bright spot for us pretty much since we designated it as a strategic area of focus. It’s nice to see an area where we have, I think, a competitive advantage. We have a lot of legacy. We’ve got some great agents and some internal folks. We hired somebody from the outside who is an industry expert in heavy-haul. Rob Simon is his name. You’ll hear his name from time to time on these calls as we continue to improve the service offering there. And the BCOs who are capable of doing this and approaching customers who have that as maybe not the mainstay of their business, but certainly a piece that we can participate in. As you know, Jim Applegate has got this heavy-haul area. So let me let him provide some commentary on the end market question you had, Jason.
Jim Applegate: Yes. And how are you doing, Jason? From a heavy-haul standpoint to Frank’s point, we’ve really leaned into this whole area and we’re engaging our agents, we’ve got additional resources over within our corporate office to kind of help them work through the opportunities. We’ve got a dedicated sales focus. So our growth in that area has actually been pretty broad based. We’ve got machinery, electrical, building products, the energy industry. We’re kind of seeing it in multiple areas with multiple customers. So we view this as a bright spot here. Not only from 2024, I think it’s carried over here into 2025 and our pipeline is very strong. So to Frank’s point, we’re a very strong player in this market and it seems like the end markets are really kind of turning in our favor and we’ve got the right support system to make sure that we grow.
Jason Seidl: I appreciate that color guys. Wanted to switch over to sort of the new requirements or I guess, the requirements that were brought back for English proficiency for CDL operators. Wanted to get sort of your thoughts on how that would impact the overall driver supply market. Not only in sort of enforcement but also in maybe new CDL applicants going forward?
Frank Lonegro: Yes, Jason, great question. I’ll let Matt chime in here in a second. The good thing is that we don’t expect any impact on our BCO fleet. Our standards here are extremely high as you might imagine. Our qualification process, our orientation process certainly ferrets out folks who are unable to comply with that federal requirement. I don’t think that every company is as stringent as we are. And so I think it is going to impact capacity in what I’ll say is a favorable way for the industry and certainly for Landstar. And I think we’re going to see that in a couple of different ways through standard road checks, but also in the use of what we call B-1 visa folks who were previously anyway involved in a lot of cross border business. So I do think it’s going to be an overall positive for us. But Matt can fill in the gaps there.
Matt Dannegger: Sure. And appreciate the question. This relates to the executive order on English language proficiency that Trump put out April 28 and that was followed May 1 by CVSA indicating that English language proficiency was going to be considered an out of service criteria. That’s really the big change here. English language has been required. It’s the out of service element here that can impact shippers as well as the drivers when they’re out there on the road. And really the big question that we have is the enforcement guidance. So we’re waiting on FMCSA. They have about 60 days to put out guidance in terms of enforcement for law enforcement. But we’ve heard upwards of 100,000 drivers could be impacted. That’s an industry number. That’s not my number that we’ve heard. And I just recently got back from Laredo and there’s a lot of chatter down there about those B-1 visa drivers and a large preponderance of them using the various apps, right? Apps to translate. And so how does that enforcement translate the use of those apps? Are those folks out of service could having a meaningful impact to overall capacity.
Jason Seidl: I appreciate that color guys. Appreciate the time as always.
Frank Lonegro: Thanks, Jason.
Operator: Thank you. Next is Jon Chappell of Evercore ISI. Your line is now open.
Jon Chappell: Thank you. Good morning. I’m going to stick with the capacity theme. Frank, I’ll start with you. Obviously the BCO account’s been kind of in the crosshairs and it sounds like this quarter trends remain the best quarter-over-quarter in 12 months – sorry, 12 quarters. Looking at Slide 7, the total truck brokerage carriers lapped up about 15% quarter-over-quarter over 10% year-over-year. Can you maybe explain what’s going on there and what that may be indicative of in the broader industry capacity landscape?
Frank Lonegro: Yes, good question, Jon. And on the BCO account, yes, we are actually pretty excited about the trends that that we’ve seen in April and even more so in the first couple of weeks of May. And so I’ll let Matt cover that one. You are right, there has been an uptick on the capacity side, the third party capacity side. There are reasons behind that. And also given the question that Jason just asked and Matt’s excellent answer, I mean I do think that capacity number is probably going to come down but let Matt fill in the gaps.
Matt Dannegger: Sure, sure. And that’s a great point. It did jump about 10,000 carriers and that really relates to our partnership with an industry leading vendor on the carrier vetting and oversight. They’re partnered with many other carriers or brokers, I should say in our space. Therefore we got access to more approved carriers that qualify for our criteria as a result of that implementation, which took place in the first quarter. That said, this is going to give us the ability to become more and more selective with those that we do business with as it relates to fraud, as it relates to really choosing those high quality carriers to partner with. And so I would expect those numbers to come in, in the second and third quarter as we look ahead and we become more selective going forward. On the BCO side, I would really echo what Frank said on his remarks. We went from – on the retention side, we went from a high water mark fourth quarter of 2023 at 41% and we’ve seen – this is our fifth quarter of improvement there where we’re sitting at 33% now at the end of the first quarter. Long-term average is 29%. So we’re much closer to that long-term average than we are to that high water mark. And as Frank alluded to fewer than 20 net truck losses in the first six weeks of the second quarter is a trend that we like and should that move forward, we would have as Frank said, the trend could be the best in the most recent 12 quarters. On the ad side, love to see a little bit more help on rate. We’re focusing on what we control – what we can control, improvements to recruiting, improvements to qualifications, improvements to orientation, all of those things without sacrificing safety. Safety is one of those things that we view as a big diversifier for us – a big differentiator, I should say, not diversifier, a big differentiator. We’re not going to sacrifice safety and the model has proven in a good environment we’re able to add trucks in a meaningful way. We added net trucks in 2021, roughly 870 net truck adds in 2021, roughly 750 net truck adds in 2020, roughly 900 net truck adds in 2018 and 500 net truck adds in 2015. So the model has the ability to lend itself to us adding net trucks in a meaningful way given a favorable environment.
Jon Chappell: Great, that’s really helpful, Matt. My follow up is going to be to Jim Applegate, but maybe stick with you, Matt, or either one. Just overall capacity, it was noticeable to me both Frank and Jim Todd in the prepared remarks used the phrase readily available. I know there’s a lot of hope that English proficiency is going to call a lot. I was thinking before this weekend, there was probably some hope that recession would help call a lot of this excess capacity. But do you have any estimate on what the overcapacity is in the market and when do we go and what does it take to get from readily available to balance?
Frank Lonegro: Yes. Hey, John, good follow-up. You can look at the FMCSA databases and it’s going to give you a view but not a perfect view of what’s happening. And part of the reason is, you don’t actually know how many trucks are associated with those authorities. And we are continuing to see capacity come out. I think the fact that we are, I’m going to say bottoming, but it’s obviously there’s a lot of uncertainty still out there but the fact that our trends have improved meaningfully from Q1 to Q2 and even from April to May. Now some of that is the good work that Matt and his team are doing to improve all of the qualifications and the recruiting and then a little bit of hope of better rate obviously keeps people in the game which we saw when we entered into the year. I mean, we had a good feeling about the year and then obviously a fair amount of uncertainty got injected through the tariff and trade policy. So look, I think we are getting there. I don’t think we’re all the way there. The first thing we’re going to see are pockets. My guess is, if there is real enforcement on English proficiency, you’re probably going to see that equilibrium achieved in Texas and places like that. Perhaps Florida, perhaps Southern California, places that are border-ish related. You’re going to see impacts there probably first and that will give you an indication that we’re nearing that.
Jon Chappell: Great. Thanks Frank. Thanks, Matt.
Operator: Thank you. Our next question will be from Daniel Imbro of Stephens Inc. Your line is now open.
Daniel Imbro: Yes. Hey, good morning guys. Thanks for taking our questions.
Frank Lonegro: Good morning, Dan.
Daniel Imbro: Frank. I wanted to start maybe a little bit more near-term focus. I think in the slide, you offered a little bit on April and what normal seasonality looks like. But in your prepared script, I think you said you expect maybe below normal sequential movements in loads from April to May. I guess, can you just walk through a little more detail, kind of where you’re seeing any relative strength or weakness? I think automotive was a big weak category in 1Q. And just what can you lean into to outgrow the market during this continued malaise on the demand side as you look across the portfolio?
Frank Lonegro: Yes. Hey, Daniel, good set of questions. I’ll let JT get into the specifics on a kind of line by line basis. We went through a fair amount of it on the prepared remarks. But to your point, I mean, automotive, given the tariff overtones and the fact that rates spiked up a little bit, meaning interest rates spiked up a little bit during the quarter, that was not our friend. The impact of tariffs in Mexico or Mexico products coming across, that obviously didn’t help us either. So I would say, the automotive piece was a bit of a drag and U.S.-Mexico cross-border more broadly was a bit of a drag, as was U.S.-Canada. So the things that were tariff impacted clearly impacted us as well. The fact that we saw some better numbers in April, I mean, that felt pretty good, but it also had a fair amount of nuance in there as well. We did see the U.S.-Mexico business do a little bit better in April, but we saw the U.S.-Canada business do a little worse. So I think the thing that we need to focus on are the areas that we have the most control over. And clearly that’s getting the BCO count where it needs to be, doubling down on the strategic areas of focus. The investments that we’ve made in Laredo and other places along the border for U.S.-Mexico trade, they are the absolute right investments for the long-term. The short-term, obviously that’s going to get impacted by tariffs as well as where the automotive business is. When that comes back, we’re very well situated to do a good job there. But I think what you’re seeing is the heavy-haul business doing well, the overall platform business doing pretty well. You’re seeing all the data center and the power and things like that doing well for us. So there’s a lot of bright spots in there, but you got to put it in the context of all the rest of the business. And there’s some areas that are doing well and some areas that aren’t. JT?
Jim Todd: No, I think that’s fair, Frank. Daniel, to your question on seasonality, so April typically drops off about 260 basis points on loads per workday and we finished April at down 540. So that’s what’s driving April volumes 2% below prior year April, when we were down 1.2% year-over-year in the first quarter. To Frank’s point, our U.S.-Mexico business was down 9% year-over-year in the first quarter through the first six weeks of the second quarter. It’s basically been cut in half to where U.S.-Mexico revenue was only down 5% year-over-year.
Daniel Imbro: Great. And then if I could just say from our follow up, sticking on the 2Q kind of outlook, I know JT, you’re not going to give a 2Q both the EPS guide, but I guess what are the puts and takes? Maybe if you walk through the expenses, incentive costs I think you talked about how those should trend. Frank mentioned $2 million to $3 million from the agent convention. Maybe insurance steps down given these but not sure with the claims. Just anything to help us bridge kind of operating expenses from 1Q to 2Q would be helpful.
Frank Lonegro: Why don’t we walk you down just a little bit more than what’s in the slides because it’s important for us to give you as much commentary as we can. We’re not trying to set guidance, we’re not trying to give you a set of boundaries that you’re going to take the midpoint of. As we entered the year, we did see some early signs of a recovery and that was a pretty good environment. We’re excited about the year. In looking at Q1, absent insurance and claims, we would have hit our guidance and so we felt really good about the core operating performance of the business. Mid-quarter, post-inauguration we encountered the unprecedented tariff and trade environment that you all are very familiar and very well briefed on because we saw that in the impacts on Mexico and Canada as we mentioned. And even though the direct U.S.-China exposure is limited, we probably did benefit somewhat in the first quarter from pull forward. We don’t know how much of that. So I think the concern we have is, will there be an air pocket in the blank ships and things like that, the impact of that on demand for trucking but also on supply, if there’s more supply because there are fewer loads coming off of import/export than that obviously is impactful to us counterbalanced by the English proficiency that we talked about earlier. I think all that aside, and I’ll put a huge caveat that we are not giving Q2 guidance. I think at our current course and speed and sub-seasonal volumes, I’d expect us to finish above Q1 revs but below Q2 24 revs. That gives you a fairly wide range but I think that’s where we’re trying to guide you toward. And then on variable contribution margin, we finished 14% in Q1. We would generally see a 30 to 40 basis point decline in that from a sequential perspective. But then again, if we’re going to be sub-seasonal on volumes, we might end up a little bit better than that, down 30, down 40. And JT’s got a bunch on the expenses so let me let you hit that.
Jim Todd: All fair. So another operating cost, Daniel. Matt and the team did a really nice job in the first quarter, 800,000 gains on disposal. If that pace is not achieved in the second quarter, you could have some modest uptick on other operating costs sequentially. Insurance, the deal there, the trend has not been the industry’s friend. 9.3% is a high watermark in first quarter of 2025. Hope to beat that in the second quarter. On G&A, really the big one, Daniel, is the 4.8 falling off and then potentially $2.5 million, $3 million coming on board. I know you were with us for first week in April at convention. Depreciation, I don’t anticipate anything significant sequentially 1Q to 2Q. On the question around incentive compensation and stock compensation, we had about $3 million included in the first quarter of 2025 on those lines, I would expect if our overall expectations play out in the second quarter I would expect a similar charge reflected in second quarter SG&A.
Daniel Imbro: Great. Really appreciate all the color. Thanks guys.
Jim Todd: Thanks Daniel.
Operator: Thank you. Our next question will be from Brian Ossenbeck of JP Morgan. Sir, your line is now open.
Brian Ossenbeck: Hey, good morning guys. Thanks for taking questions. Maybe it’s a very near-term one. We have road check going on this week, right. So maybe Matt, you can talk about expectations for that. Will we see any sort of – it doesn’t sound like FMCSA has their guidance out there, but could we actually see some sort of out of service impact from all this language proficiency focus?
Matt Miller: Yes, appreciate the question, Brian. I don’t think just yet we’re going to see anything too meaningful until we get that guidance, that enforcement guidance. I have not heard or seen from anybody that’s indicating we’ll see any elevated enforcement just yet.
Frank Lonegro: Yes Brian, these are going to be judgmental until we get the guidance. So my guess is, it’s going to have to be a blatant non-English proficiency in order for somebody to be taken out of service. So I think this is a good barometer of whether there are truly folks out there who are very sub-proficient in English. But it remains to be seen, but we’ll certainly keep an eye on that.
Brian Ossenbeck: All right. Makes sense. And then just more broadly, I know you talked about all the puts and takes and pull forward, which is quite difficult to pull apart and to figure out what’s actually going on. But maybe, Frank, is there a possibility that we could see maybe an acceleration here in the short-term is we have another 90-day window with a lot more clarity, maybe if you didn’t pull forward, you will if you already did, you do some more. Are you hearing or seeing anything along those lines across the different verticals and maybe even across the geographies as you look at the cross-border?
Frank Lonegro: Yes. With 36 hours post the 90-day pause, nothing yet. But look, academically in the first quarter, it’s hard to believe that we didn’t see something associated with pull forwards. And my guess is if the 90 days continues to progress and people become more and more worried that maybe there won’t be a deal. My guess is there’ll be some people who try to get things across the finish line before the 90 days expires. So academically, I see your point and can certainly support it, it’s just hard in this early going to actually put some numbers behind that.
Brian Ossenbeck: Right. Understood. Hey guys, thanks for the time.
Frank Lonegro: Thank you, Brian.
Operator: Thank you. Our next would be Scott Group of Wolfe Research. Your line is now open.
Scott Group: Hey, thanks. I know, Frank, you were talking about just like the uncertainty with these blank sailings and weaker imports. I’m wondering, are we seeing – are you seeing that in your volume yet, meaning if April was down 2% on volume, is May meaningfully different than that?
Frank Lonegro: Yes. Let me hit the high level and then I’ll let JT talk to the specifics on May. When you look at the sales time and you know this probably better than anybody, Scott. So I think the sale time measured depending on your port could be four, five, six, seven weeks, depending on where you’re selling from and where you’re selling to. So I don’t think we have seen the blank ships coming in, so to speak. But that obviously is going to hit us at some point in time. The nice thing is we don’t have a ton of direct exposure to China import export. We have a little bit in the international business. And then it’s hard to figure out whether or not we participate in any meaningful consolidation in the 53 footers after they get to inland ports, my guess is it some, but it’s probably quite small. But there’s going to be some pockets. And the question to Brian’s point – question to go is, are we going to see that counterbalanced by any pull forward associated with the expiration of the 90 days. Let me – let you hit April, May.
Jim Todd: Yes. So through the first two weeks of fiscal May, truckloads for workday Scott are running almost right on top of fiscal April, such that we’re clipping about 20 basis points ahead of prior year May. And I would just remind folks last year, May 2024 dipped truck loadings versus April, which is unusual. That’s why the slight improvement versus the down 2% year-over-year in April.
Scott Group: Okay. That’s helpful. And I know it’s a small part of your business, but just curious ocean and air – the ocean and air segment like had a lot of growth in Q4 and Q1 and has that – what you’re seeing more in real time there? I’m just curious.
Frank Lonegro: You’re talking about in terms of Q1, Q2 trends, Scott?
Scott Group: Yes.
Frank Lonegro: Obviously, rate was a huge positive for everybody in that space in the preceding handful of quarters as that ticked up. JT, just pulling up a couple of numbers here to hopefully be able to help you out as we think about last year and this year.
Jim Todd: Yes. So we’ve definitely seen our ocean revenue per shipment slide on a sequential basis, Scott, running a little bit over $11,000 in the fourth quarter of 2024 down to – I was giving the numbers about $7,500 an ocean load in first quarter 2025. So while it was still positive year-over-year in the first quarter, we are seeing a sequential slide.
Scott Group: Okay. And then if I could just ask one just bigger picture question. It sounds like, hopefully, the BCO declines are starting to moderate. Do you think – is there – do you – is there anything about this that in any way, feels structural to you where when we get an up cycle at some point, we’re not going to see a big uptick in BCOs? Or is this purely a cyclical dynamic? And when the cycle turns, we’ll get all the BCOs coming back and we’ll get all the volume growth back?
Frank Lonegro: Yes, Scott, I don’t see anything structural. I mean obviously, we’ve been looking at BCO count extremely heavily here in the last certainly since I’ve been here, and I’m sure the team before, as things started to roll over in the early part of 2022. I think – and we’ve mentioned this before, just the sheer length of time associated with this freight recession, it really is unprecedented. And so we always go back and look at history and say, well, look, what if this recession had only been 18 months to 20 months like prior ones, and I think we would have snapped the line of like 10,000 trucks. So that would feel pretty good. We should expect capacity, not just at Landstar, but more broadly to continue to bleed out as the rate environment bounces along the bottom. So that doesn’t really surprise us. The fact that we are seeing – continuing to see a significant number of ads on a quarter-over-quarter basis. And Matt, you may have the numbers for Q1, I just happen to remember the numbers from Q4. In Q4, we added 500 trucks, but we lost 700 trucks. So the fact that 500 new folks are coming to us tells us that the model is quite sound and quite resilient. And when things go the other way for a positive way, then you’re going to see more adds than cancels because in a rising rate environment with a percentage pay model, more people are going to want to stay in a rising rate environment than they do in a declining environment. So Matt quarter one?
Matt Miller: Yes. Quarter one was 568, so up 12% sequentially, Q4 to Q1.
Frank Lonegro: Yes. So we’re continuing to add significant trucks, which tells me, it’s as much about continuing to see that number increase in a positive rate environment as well as more people wanting to stay. So it’s both sides of the equation. And again, Matt’s doing a really good job of digging into all of this and looking not just at how we add more fully qualified folks but also how we improve retention through all the work that we’re doing on safety, security service, what we call the CABS class securement training, all of the things that are really good. And ultimately, the agents getting the best loads that are out there. As you all know, we generally don’t play the bottom of the freight pie. So it’s important for us to continue to get the right business for the BCOs to haul.
Scott Group: Thank you, guys. Super helpful.
Operator: Thank you. Next question will be from Ravi Shanker of Morgan Stanley. Sir, your line is now open.
Ravi Shanker: Great. Thanks. Good morning, everyone. Just a follow-up on the cargo set topic. I was struck by your – I think Matt said that this is a topic where we probably play more defense than offense at this point. How many quarters do you think will it take to get in front of it? What are some of the tech tools are you using? Are there any kind of AI-type applications you can use to maybe predict some of this? And also in the meanwhile, like what recourse do you have? Can you work with some of your customers, maybe share some of these losses? Is this something that insurance will even consider because in our conversation with the insurance analyst, it doesn’t feel like cargo theft have some claims is a huge topic for them relative to maybe some of the accident claims here?
Frank Lonegro: Yes. Hey Ravi, so a couple of good thoughts inside of that. I think that the theft environment similar to cybersecurity, like you’re always going to be on some level of defense given the fact that the attack vector, so to speak, always is changing as you put up better defenses people try to find a way around those. Matt mentioned and I’ll reinforce the technologies that we are investing in, both as an industry through some of the vendors that we all do business with as well as some of the things we’re working on internally, do, in fact, utilize AI and they certainly do a nice job when they’re fully deployed, which they’re not quite yet. But as they’re fully deployed, they’re going to be able to either catch things in advance. And I mean we literally just talked yesterday about a load that was in the process of being diverted and we caught it. So we are seeing successes in those tools playing good defense and preventing things. But at the end of the day, we’re going to continue to have to watch what the bad actors are doing and do everything we can to catch them really, really quickly. In terms of recourse, it depends. Obviously, it depends on whether it’s a BCO load or a brokered load. And on the insurance side, yes, we do have insurance that plays here. It’s got a fairly healthy deductible. So a lot of it’s going to depend on exactly what the circumstances were as well as with the value of that load was.
Jim Todd: Yes. I would just add, Ravi, just we got – just got passed or maybe one insurance renewal. The insurers are absolutely taking it on the chin and they’re getting more creative in the policies they’re willing to write, some of which you’ve got to sign your right over and the insurer will fight your customer to look for ways on a legal basis to not pay the claim. Clearly, from a service perspective, we would not want to do that from a service provider perspective.
Ravi Shanker: Understood. Maybe a really quick follow-up here. If we dream the dream, how – what’s the scope of upside potential in these next 90 days, if shippers decide that they want to build inventory through holiday season and through the end of the year in the next 90 days, do you think the market could get tight enough that we could maybe see some flash back to the pandemic and maybe some supply chain chaos and like really high truck rates here?
Frank Lonegro: Yes, good question. Obviously, multifaceted. We at Landstar generally do well in more volatile times. And obviously, if you look at our core results relative to others who have reported, I think you would reach the conclusion that we did pretty well. So I think in a volatile next 90 days, I’m also coupling that with English proficiency enforcement and things like that. That might tighten up capacity. That’s going to help Landstar. We have business predominantly in the spot market. So when folks can’t cover loads, they generally look for bigger players in the spot market, i.e., us. And so I look forward to that volatility. The question is whether or not, there’s going to be more certainty in trade policy here and not just vis-à-vis U.S., China, but also U.S., Mexico, U.S., Canada. Because as I mentioned in the prepared remarks, you’re talking about 15% plus of our business that right now, in some respects, people are sitting on their hands waiting to see exactly what’s going to happen. So I’m trying not to gauge the business on the next 90 days. I do think the strategies that we are focused on are absolutely the right ones. And that universe is continuing to expand. Maybe Jim Applegate, you can talk a little bit about what’s coming up that we covered with some of the analysts at our meeting at convention. But we’re going to continue to look for things that are arguably hard to do and that there are fewer competitors out there, which obviously gives us a competitive advantage if we’re good at and certainly helps us on the rate and the VC side.
Jim Applegate: Yes. So, Ravi, from a strategic initiative standpoint, you guys have heard a lot about heavy-haul, you’ve heard a lot about cross border. We put those in flight last year and we’ve had great results. I mean, we’ve really gotten our agents engaged. We’ve gotten a lot more strength around those different services that we provide. And as that’s really kind of played itself out to Frank’s point, there’s a lot of other things that our agents are really well suited for in this market where we do the really hard stuff well. We pulled in cold chain expedite, we pulled in hazmat. We’re executing in a very similar way. We’re getting the right leaders around it. We’re getting the right strategies in place to go ahead and engage the agents to recruit the capacity in sales and marketing from a direct customer approach. And we’re starting to really kind of get some good momentum around – from a corporate standpoint, put our arms around our agents and directing them into the right areas where they can be successful. One of the things that didn’t come out in our call today is the performance that we’re starting to get around our top 100 customers. We actually grew 5% within our top 100 customers in this first quarter. And I do attribute that to not only the strategic initiatives, but a lot of the other efforts that we’re doing, Matt Dannegger, Matt Miller and myself, as far as trying to get our arms around agents, pushing them to grow within their existing customers, share a wallet and giving them the right support that they need to go ahead and grow, not only within the strategic initiatives, but as an organization. So we’ll continue to do that. To Frank’s point, 90 days isn’t going to make or break the company. I think we’ve got a really good long-term game plan in place to make sure that we can continue to grow in these – what we feel are real competitive advantages for our agents. And as the market corrects, we’ll be in really good shape.
Ravi Shanker: Very helpful. Thank you.
Operator: Thank you. Next question will be from Bruce Chan of Stifel. Your line is now open.
Bruce Chan: Hey, good morning everybody. Sorry to ask another one here on the fraud issue. I know it’s under investigation, but you’ve called out a $0.10 impact here and there’s an implication that it’s more one time in nature. Outside of just the magnitude of the this charge and the fact that it’s in forwarding, is this a separate issue, because it’s more preventable than the double brokering and imposter scams?
Frank Lonegro: Yes. This one is extremely unique. I mean this was a relationship which was created 10, 15 years ago, which over a period of time, there were some ownership changes and things like that in this satellite environment. And then there was a very unique set of circumstances. This is not your typical double brokering or anything like that. And that’s one of the reasons why we feel comfortable that we got our arms all the way around it, as I mentioned, and that the charge if you took the gross and then looked at the actual and probable recoveries, that’s how we get down to the net. We’ve got a fair amount of, I’ll say, security around that gross to net changeover. Is it possible that we get some additional recoveries over time, sure. We obviously are going to spend some money and invest and go after the bad guys through both civil and potentially criminal means as well. So we are we’re upset about this to be candid, both in the way that the relationship developed years ago, but also the fact that somebody are to boost all from us. So we’re going to go after the bad guys. And I think it’s going to make us all set up a little straighter and look at any additional unique opportunities that come our way in the future. We’re going to look really, really hard at it.
Bruce Chan: Okay. That’s good to hear and really helpful. And then just a quick follow-up here. I know you gave some color on the near-term trends with Mexico cross-border. Maybe any commentary there on what you’re hearing from shippers in terms of the long-term outlook there? And whether or not you’re considering additional investments on an M&A standpoint or maybe on an organic basis?
Frank Lonegro: Yes. So good set of questions. Again, we do believe that this is the right long-term play. M&A is probably not the first thought that comes to my mind when I think about the U.S. Mexico cross-border business. We’ve got some great agents who do a fabulous job for us in shepherding Freight Northbound, Southbound. We are looking at whether or not we are penetrated enough in other gateways. We feel like Laredo is a wonderful footprint for us. Do we need – whether it’s joint venture lease owned, do we need other facilities along that border as you think further west, it obviously picks up different lanes, it picks up different commodities, things like that. But we are looking at whether or not we should be more penetrated in some of these other locations. But I’ll let Jim Applegate touch on some of that.
Jim Applegate: Yes. From a Mexico market standpoint, I mean, obviously, the tariffs, I think have kind of put a cloud over some of these longer-term investment decisions. I think there needs to be a little bit more clarity before you start hearing about any kind of wholesale decisions to deploy capital. But I think from a long-term perspective, Mexico is going to come out of here, I think, is a good winner. And I think you’re hearing that from shippers, you’re hearing that from other people within the industry that are trying to position themselves over the next 3, 5, 10 years, if you see what’s happening with these tariffs and trying to kind of push more manufacturing back here to North America, I think Mexico does still come out a clear winner. And we’re doing everything we can to make sure that we’re in the right position to capitalize on that.
Bruce Chan: Okay. Great. Thank you.
Operator: Thank you. Our last question would be from Bascome Majors of Susquehanna. Sir, your line is now open.
Bascome Majors: Thanks for taking my question. Jim, you walked us through your – some of your cost items, sort of directional thoughts into the second quarter. Can we zoom out a little bit on that discussion? Where is your accrual for incentive comp and stock comp for the year relative to where you thought it would be when you started the year? And like ultimately, if we get the recovery year, we’re all hoping for into the 2026. How much of that needs to come back to get you back to a normal level?
Jim Todd: Hey, Bascome, great to hear from you. So on our year-end 2024 earnings conference call, I gave a $21 million normalized figure between incentive comp and stock compensation. We’re currently accruing to about $12 million this year, Bascome. It’s about $4 million from the cash plan and about $8 million from the stock plan.
Bascome Majors: And if we went back to normal in 2026, would that be reflective of where you started 2025 or there’d be something different that we need to consider there?
Jim Todd: There’d be a little bit of impact on merit wages, but I would tell you, Bascome, it’s probably – let’s say $12 million is base case for 2025. I would tell you, hypothetical for 2026 would be that $9 million headwind or $21 million on a full year.
Bascome Majors: Thank you so much. Take care.
Operator: Thank you. At this time, I show no further questions. I would like to turn the call back over to you sir, for closing remarks.
Frank Lonegro: Thank you, Al. In closing, while the freight environment remains challenging, we do see some positives in the near-term, we were encouraged by first quarter truck volume performance and with a choppy industrial economic backdrop, we were pleased with the 6% year-over-year revenue increase in our heavy haul service offering. I was also pleased to see the impact of some cost performance on items within our control. For example, the first quarter was positively impacted by increased gains on sales of used trailing equipment, decreased depreciation on IT software projects a decreased provision for contractor bad debt and decreased expenses on the company’s trailing equipment fleet. And regardless of the economic environment, the resiliency of the Landstar variable cost business model continues to generate significant free cash flow. Landstar has always been a cyclical growth company, and we are well positioned to navigate the coming months as we continue to look forward to higher highs when the freight market turns our way. Thank you for joining us this morning. We look forward to speaking with you again on our 2025 second quarter earnings conference call in late July. Thank you.
Operator: Thank you for joining the conference call today. Have a good morning. Please disconnect your lines at this time.